Operator: Good afternoon, ladies and gentlemen. Welcome to the Research Frontiers Investor Conference Call to discuss the Third Quarter of 2024 Results of Operations and Recent Developments [Operator Instructions]. This conference is being recorded today. A replay of this conference call will be available starting later today in the Investors section of Research Frontiers' website at www.smartglass.com and will be available for replay for the next 90 days. Please note that some of the comments made today may contain forward-looking information. The words expect, anticipate, plans, forecasts and similar expressions are intended to identify forward looking statements. Statements that are not historical facts are forward-looking statements that are made pursuant to applicable safe harbor provisions. These statements reflect the company's current beliefs, any number of important factors that could cause actual results for future periods to differ materially from those expressed. Significant factors that could cause results to differ from those anticipated are described in our filings with the SEC. Research Frontiers undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. The company will be answering many of the questions that were e-mailed to it prior to this conference call either in the presentation or as part of the Q&A session at the end. In some cases, the company has responded directly to e-mail questions prior to this call or will do so afterwards in order to answer more questions of general interest to shareholders on this call [Operator Instructions]. Also, we ask that you keep your questions brief in the interest of time. I'll now turn the call over to Joe Harary, President and Chief Executive Officer of Research Frontiers. Please go ahead, sir.
Joe Harary: Thank you, Erika. And hello, everyone. And welcome to our third quarter of 2024 investor conference call. As we anticipated in previous calls, based upon the leading indicators that we typically look at, we saw strong momentum this quarter. Compared to Q3 last year, Royalty income grew over 115%, fueled by triple digit growth in our two largest markets, the automotive and aircraft markets. For the first nine months of this year, royalty income rose by over 93% compared to the same period last year. This was driven by double digit percentage growth in the aircraft and architectural markets and triple digit percentage growth in our largest market, the automotive market. In fact, we are on track to almost double the number of roofs sold to Ferrari and triple the number of roofs sold to McLaren compared to last year. This marks our seventh consecutive quarter of revenue growth. And looking ahead, we expect to finish the year with double digit revenue growth over last year. In fact, as of the end of the third quarter of this year, we have already surpassed revenues for all of last year. Our expenses were down by $92,000 this quarter alone and by over $150,000 over the nine months. With higher revenues and lower expenses, our quarterly net loss is one third of last year and for the full nine months is about half, translating to $0.00 on or almost breakeven per share for the quarter and $0.02 per share for the full nine months. Barring strategic reasons, we do not anticipate needing additional capital in the near term. We remain debt free with over $1.65 million in cash and stable working capital deficient for more than five years of operations. Now let's break down these results by market so we can all better understand where we are and what we could all expect. There's been a steady march forward in the automotive and aircraft industries towards the adoption of our SPD-SmartGlass technology. Starting with Mercedes, then McLaren, then Ferrari and now this quarter, Cadillac. In aircraft, our bread and butter were SPD-Smart EDW windows and turboprops, like the King Air and jets like the HondaJet and now much larger aircraft from Daher, Dessault and especially Boeing and Airbus aircraft, all with far more windows per plane. And more vehicle introductions using SPD technology are expected as early as this coming year. Sales of cars using our SPD-SmartGlass technology at Ferrari and McLaren remained quite strong, and Cadillac is just starting now. An extremely high percentage of Ferrari customers and McLaren customers are all opting for the SPD-SmartGlass roof and the SPD-SmartGlass roof is standard on the Cadillac CELESTIQ. We are on track to almost double the number of roofs sold to Ferrari and tripled the number of roofs sold to McLaren compared to last year. So there are excellent results with existing models as SPD-SmartGlass roof options become more and more popular on the cars that offer it. Now regarding new customers and new models. After good meetings in Asia in August and in Europe starting in September and October and more recently this week, I am quite optimistic that we will see multiple new car models with SPD Smart Glass come out as early as 2025 from carmakers in these different regions of the world. What's particularly exciting is that the manufacturing cost of products using our technology has decreased significantly, making it feasible for use for the first time in moderately priced vehicles. This creates opportunities for higher volumes of SPD-SmartGlass technology and middle market cars worldwide. Our launch project in Asia for this is still on track. All of this and the expansion both among new OEMs and the extension to new car models within each OEM reinforces the strong validation of the value of our SPD-SmartGlass technology that we offer to the automotive market. Following LTI's retrofit product debut in AIA in June, we're seeing increased interest in SPD projects worldwide. While details aren't yet public, we expect further growth as architects adopt SPD for it’s energy saving and instant glare control capabilities. As recently as this week, we discussed more new projects and opportunities for SPD in the architectural market and their specifications. I spent some time discussing our largest market in automotive and new models coming out there shortly as well as architectural markets. I now want to move to our second largest royalty generating market, aircraft. We also once again had higher revenues with double digit growth in the second quarter and triple digit growth in the third quarter. There have been a fundamental improvement in that market for us as well. This stems from the way that decisions are made. For general aviation aircraft, we're on the HondaJet and the King Air among other aircraft. In those in other areas, the OEM made the decision about putting our high performing SPD technology on the aircraft. The significant shift is that in the larger aircraft made by Boeing and Airbus, now the customer decides. This has been tremendously enabling for our licensees selling SPD EDWs because the performance in terms of switching speed is instantaneous and the wide change in tint also being uniform has made it an easier choice by the customer to pick SPD, and airlines and owners are picking SPD when given the choice. Apart from the obvious benefits of improving the passenger experience by giving them more control over their environment and reducing noise in the aircraft cabin, there are temperature benefits as well. In automotive, we see a side-by-side reduction of 18 degrees Fahrenheit in a car. In aircraft, we have seen as much as a 26-degree Fahrenheit reduction in cabin temperatures simply by using SPD. Once again and our growth in revenue from the aircraft market reinforces the value we add the aircraft and airlines around the world. In the interest of time and to cover as much ground as possible today, I have taken a number of questions that we have received by e-mail and have incorporated them into my presentation today. I'm now going to open up the conference call to additional questions. And first, I'll read and answer some of the questions we received by e-mail and I encourage people to e-mail in their questions before the conference call, so we can tailor our presentation to cover the most ground for the benefit of all shareholders. To hear some of the additional questions that were e-mailed to us and in some cases, I'm combining several related questions into one. They basically cover three areas: one, the effect of the war in the Middle East; two, use of competitive technologies; and three, the architectural market. First, on behalf of our friends at Gauzy, we appreciate the questions about the situation in the Middle East and their safety. Everyone is in fact safe. The war in Israel has not affected Gauzy operations. They plan and build redundancy into the Stuttgart facility for both emulsion and film production. They also have redundancies in other areas and a worldwide footprint in factories in the US, Germany, France and of course, Israel. Our next question, Joe, on prior conference calls, you mentioned that you were going to see other technologies tried on cars. We see some cars coming out with PDLC in the roof. Can you comment on this? First, I think it's important to understand the path that these other technologies might have to get into a car. And we've given a lot of thought and analysis to this. One path is due to suppliers overpromising the benefits of these other technologies. Another may be trying to avoid paying a royalty on our hundreds of patents. And the third might be the automakers simply trying to pick the cheapest solution or to keep the price point of car within a certain range vis-a-vis their competitors' models. So let's first take a look at this first path, focusing on the benefits. The benefits of SPD-SmartGlass are quite clear and have been demonstrated over tens of thousands of cars produced by Mercedes, McLaren, Ferrari and now this quarter, Cadillac. The benefits of PDLC on the other hand have really focused on its ability to deliver good privacy. However, in the areas of heat, light and glare control and shade, this technology does quite poorly and less enhanced by using other technologies in conjunction with it. And if you read the blogs and the online user forums for car owners, you'll see that there have been numerous complaints about the use of PDLC in the roof systems of cars. It basically does nothing other than providing privacy. And personally, I question why anyone would need privacy from people looking in through the top of their sunroof, especially since the SPD solution blocks 99.5% of the light. So both technologies will deliver privacy, but SPD also delivers the heat light and glare control, which is essential for energy efficiency and occupant comfort. From a benefit standpoint, it's clear that SPD-SmartGlass offers the most practical benefits and the ones that the carmakers need. I'm also pretty confident that the automakers monitor these user forums and are aware that the PDLC solution leaves a lot to be desired. Let's talk about the other path of getting an alternative technology into the car that I mentioned earlier, which is trying to avoid our 250 or so patents. You can see that some older and much lower performing technologies than SPD are currently trying to be introduced. When personal computers first came out, I'm going to show my age here. The first popular computer chip was the Intel XT chip. And about two years later the AT chip came out. And at that various Pentium and dual core processor chips came out. Moore's Law named after Gordon Moore says that computing power doubles every 18 to 24 months or so. So if you take a 20 year lifespan of a patent and try to use technology that is 20 years older than what's available today, you undoubtedly would get much lower performance. In the case of a computer chip, over a 20 year lifespan the effect of computing power was 1,000 times better with the new technology. And the reason I used a 20 year lifespan as an example is because that's a typical term of a patent. So if someone wanted to use off patent SPD, they're using 20 year old technology or they’re risking substantial liability for infringement as well as the ability to be shut down in any area of the world that respects intellectual property rights. My experience has been that no reputable carmaker that sells outside of China will introduce a car using infringing technologies. I'm going to say age again, a similar analogy might be someone trying to introduce an 8-track tape player into a car today, it's not going to work. The third path to getting an alternative technology into a car is similar and related to the benefits discussion we just had, it's cost versus performance. And carmakers are trying to figure out whether cheaper smart glass technologies such as PDLC are going to deliver any functional difference and deliver on their promises. We know the answer to that but they just have to see it for themselves sometimes. And carmakers typically try to make the best car they can at a price point that competes with others in their price class for that model. Sometimes a few dollars is the difference between being in one class or another for these car makers. And this situation leads sometimes the bad decisions. Credible influencers certainly have an impact and I'm sure that automakers pay attention to consumer sentiment and complaints. And of course, different technologies and products in the automotive market coexists with each other, take tires, for example. There are many different manufacturers of tires of varying quality and performance that automakers put on their cars. And sometimes, it's a matter of getting to a particular price point. But if there's too big of a difference between the cost of the tires and they all had roughly the ability to do a similar job then the OEMs would pick the cheapest solution. But in our case, they're not. So it brings us back more directly to the question about PDLC versus SPD. Those technologies will coexist for a little while. But the fact of the matter remains that PDLC does little or nothing to block heat from visible light, which makes up half of the heat entering a vehicle through the roof. So that's where the tire analogy sometimes -- somewhat breaks down, because you don't have relatively similar performance between two technologies. And it comes down to being an education process. We and our licensees are doing that education. And at the same time, we're also working hard and succeeding at bringing down the cost differential between PDLC and SPD. And that will also make the decision making a much different, easier and favorable process for us and for SPD. Our next question comes from Jordan. Gauzy produced a press release about Ferrari's adoption of SPD glass a few weeks ago, but Research Frontiers did not. Will Research Frontiers submit a public press release for when the Asian OEM model becomes official. Thanks, Jordan. Well, Jordan, we expect to make such announcement. But first, let me say that sometimes automakers can put interesting conditions on who, what, when and even how something can be said. RFI, Vision Systems and Gauzy have all experienced this over the years. Ferrari put some conditions on the recent press release, rather than wait what could have been a long time to clarify or remove such conditions, we and Gauzy decided to release what we could sooner rather than later and with Gauzy naming Research Frontiers and SPD technology in their press release. Also, even though Gauzy put out the Ferrari press release on October 23rd, RFI noted Ferrari much earlier. As a matter of fact, a little more than two years ago, I started talking about the Ferrari Purosangue by name even before the car came out. In fact, I actually discussed it on all nine of our last conference calls. And just to complete the question, we hope that the Asian car maker as well as the other OEMs and the car models that I mentioned earlier are in our near term pipeline and many of the things that we have been saying on these conference calls will be confirmed directly multiple times. Next question is somewhat of a technical one. Joe, can you please comment on the recently completed study on SPD conducted in Saudi Arabia? Well, thanks for the question. The study is entitled Daylighting Optimization of Integrated Suspended Particle Devices glazing in different school typologies, and that's a mouthful. And it highlights SPD-SmartGlass' substantial benefits for energy efficiency and daylighting control, particularly in hot climates like Saudi Arabia. Prior to this, the most visible study on SPD was from Cambridge University and it found that SPD was very effective in maintaining building temperatures by its ability to vary the tint of glass precisely. The new study goes a bit further. It talks about the best places in different areas of the building to use SPD to meet design and engineering challenges and to optimize the environment with a focus that are just on temperature but on energy efficiency and daylighting. And some of the key insights from the study include, and this is pretty remarkable. So they compared SPD to high energy efficient low-E double glazing. And the study concluded that compared to these low E-IGUs, SPD-SmartGlass reduced net energy consumption by up to 58%, thanks to the dynamic control of heat and light. And also this feature eliminates the need for additional shading devices, cutting both energy and maintenance costs. The other thing with daylighting optimization, the SPD study, the glass that we used had a dynamic range of 0.1 to 60% light transmission for reducing glare and enhancing visual comfort. And the study demonstrates that SPD's effectiveness across various building elements like skylights, courtyards and clerestory windows was dramatic. Years ago, over 6 million visitors saw these and other benefits of SPD firsthand at the World's Fair USA Pavilion. Their SPD glass was integrated into a 10,000 square foot roof controlled in real time, allowing for automatic adjustments as well as manual adjustments. For instance, in the peak sun, the glass darkened to reduce heat and protect occupants. But during evening events, it created a dynamic flashing disco event in the roof. What the study also noted in Saudi Arabia was that SPD-SmartGlass is especially advantageous for hard to shade areas like skylights and atrium offering a simpler, more reliable solution than mechanical shading systems. This flexibility helps architects tailor lighting to specific zones, such as maintaining optimal lighting in classrooms or enhancing user comfort in any environment. And if you noticed that the study has zeroed in on the optimum tint to be used on different areas of the building. And this is quite helpful data for architects and highlights the benefits further of SPD-SmartGlass technology. So let's say, for example, you're trying to maintain a 30% transmission rate in your skylights or glass atrium, which they said was the good target. With changing outdoor lighting conditions such as any movement of the sun or time of day, the ability to dynamically adjust the tint of glass to result in this 30% light transmission is quite easy and automatic with SPD. And the study also noted that SPD-SmartGlass helps achieve balanced daylighting distribution in clerestory windows. So basically, the idea is that there can be on-demand control. For example, when I was at CERN, where the super particle collider is in Switzerland, they use our SPD-SmartGlass in the large dome at the visitor center. And when the head of CERN met me and gave me a tour of the facility, he noticed that they constantly use the SPD-SmartGlass in different ways. For example, if they're having an event under the dome, they may let more light in. If they're doing a multimedia presentation inside the dome, they will darken the glass at the top of the dome using the SPD. So there's the on-demand application of SPD and there's also the Ted it and forget it ability where in real time the glass can change instantly and automatically based on your user preferences to maintain constant control over heat, light and glare. Now one of the questions we got from John Nelson is will AI be used to control our glass. And it's very, very simple to do that. And here's a good example where you could either use simple methods like photo cells or timers or building control systems or you could use AI to automatically tell the glass what to do. And because we have instant response time, John, you get much better results than having to wait 40 minutes for your windows to switch as you would with an electrochromic window. So just getting back to the Saudi Arabian study, it concludes that SPD-SmartGlass proves to be an efficient, adaptable daylighting solution with transformative potential across various types of spaces, especially climates where controlling heat and light is crucial. The study also adds to the body of knowledge started by the prestigious Cambridge University study about the benefits of SPD technology among architects and building designers and engineers. Getting back to some of the other series of questions that John Nelson had asked, for which I'll answer here or include in my closing remarks. Any indications that Ferrari is going to expand the SPD roof option to other models. John, we expect that to happen. Based upon recent discussions I've had with Ferrari and also because it has happened with all of the other OEMs that adopted SPD and also when you consider this is a highly successful feature for Ferrari, I think it looks very good. Any potential for SPD use by the military for aircraft and/or vehicles? Yes, the answer to that is yes. And here's one about competition. I've seen ads by Home Depot for smart glass windows and storm doors. Are these -- any of these using SPD? Well, that's the ones in the Home Depot. Note this is a small surface area of PDLC. Think of it as like an electronic depot. And the economics and requirements of these big box stores are not really conducive to SPD, which will likely require a premium window in custom sizes for high end homes. So things like store stocking requirements or the lack of standard sizes for premium windows, makes it less than an ideal distribution approach for SPD. Keep in mind, we're in the high end and custom windows and it would be very hard for our licensees to stock the inventory of what might be needed as opposed to what's actually needed at all these stores. But I do [believe] we've opened the possibility of using the retrofit application to address distribution in these stores. So similar to when you're buying carpet, you come you have your home measured and then they come and install it, and that's kind of what the retrofit application is going to allow us to do. And just this week, we had some very specific discussions about that and even the analogy to the carpet sales. Another question from a different shareholder. In light of Tuesday's election results, can you indicate whether our appeal of the Dynamic Glass Act would significantly reduced SPD's chances of architectural success or has the film cost decreased enough to minimize the possible impact. Well, let me first say, it's always better to have smart windows receive a 30% to 50% investment tax credit like they do now. And I also don't know whether the entire Inflation Reduction Act may be repealed, whether it'll be left in place or maybe just some of the port barrel or other provisions will be repealed. As a former Federal Reserve economist, I've always refused to call the legislation the Inflation Reduction Act, because many of the provisions had the opposite effect. And so I appreciate in the question, the fact that you refer to it as the Dynamic Glass Act or as Gauzy referred to in the Benzinga interview that came out yesterday. Sometimes we call this the Gauzy Act. And it's important to keep the Dynamic Glass Act separate and distinct from the overall Inflation Reduction Act. And also, our area of the Dynamic Glass Act is similar to the incentives for other established energy efficient home and office products like energy efficient windows, water heaters, et cetera. So hopefully, that part will survive and they won't throw the baby out with the bathwater. And you'll see this discuss more if you listen to the Benzinga All Access interview. So the bottom line is that while tax incentives are very helpful, our costs have come down naturally because unlike our current and former competitors, there are demonstrable economies of scale that exist with our SPD-Smart technology that have now allowed us to take on mid-market and not just premium market for SPD windows. And there's one other thing I want to add here. So the cost of the film, the cost of the lamination, the reliability of the product, proven over tens of thousands of installations, have all worked very hard to bring the cost down of the basic materials. And there's one other thing, which is the delivery system. So if you think about how a window is installed in a building, there's a lot of cost of ownership. I'll mention a few. Number one, if you're going to put this on an office building in, let's say, Manhattan, if it was just replacing the glass with new smart glass, you would have to build scaffolding, hire unions to do that. And also, you'd have to basically take the property out of circulation and disrupt the tenant's operations. So there's a lot of costs involved with that. This week, we also discussed a very specific project and that project talked about a bid by a competitor where the price per square foot of their glass, which was extremely highly subsidized was lower than ours. But when you factored in the fact that their technology, the electrochromic technology is very sensitive to voltage fluctuations and can be burned out, the cost of the controllers brought the per square foot price and the annual cost of just maintaining those controllers well above SPD. So even in a subsidized market, we have a cost advantage and we've seen that and turned bid. So a lot of that is just the natural tendency, as I mentioned, for the cost to come down. And the other is the delivery system, because if you think about it, it's -- you're avoiding substantial expenses by not having to do a lot of the things that you would do with an ordinary window. So we've discussed a lot of exciting topics so far today. And now I'm going to ask our operator, Erika, to open up the conference to any additional questions people participating today might have that we've not already covered. And remember, I've gone through a lot of detail with some of the questions. So please if you can keep your questions short and focused in the interest of time.
Operator: [Operator Instructions] Our first question comes from Alan Ginsberg.
Unidentified Analyst: I have two questions, both comments on your prepared remarks. I just -- I was curious, the Saudi study, which sounds very positive. Did you have -- was there a press release on that?
Joe Harary: No. We didn't do a press release on that. It's part of our white papers and it's part of our data that we discussed with architects. And what's really good about this also is that for the first time, it's giving some meaningful targets for optimum daylighting and tint levels in -- which are all different between skylights, atrium, clerestory windows, classrooms and other things. So it really is giving some really practical data. And if you think about the challenges of achieving variable tint, I mean, right now, if you didn't have SPD-SmartGlass, you're not going to get any change or lighting change with PDLC. So you throw that out and you're going to have a 40-minute or more delay with electrotromics. And then if you're putting shades or blinds or curtains, they work, they're cumbersome…
Unidentified Analyst: No, I agree and I thought that, because it's so compelling that a press release would be a good thing for the shareholders to see. It certainly would for me.
Joe Harary: We might do that and it's not a bad idea, and I go have to discuss that with Gauzy to see if there are any restrictions placed on the public use of that.
Unidentified Analyst: I have one other question, again, on your prepared remarks, on the intellectual property. Is it possible to give you -- to give us some updates on the patents, how long they are in effect and if there are any new patents, that type of thing?
Joe Harary: We always have new innovations coming online, some are patented, some aren't. I believe our existing patents at least go through 2034 and perhaps beyond, depending on when the one's issue. We have about 250 patents worldwide. So it's quite an extensive patent portfolio. And yes, we have some pretty exciting stuff coming, some of which people would consider the Holy Grail of our industry. But I don't want to promise timing or announce it until it's ready for pronto.
Unidentified Analyst: And those types of Holy Grail patents, if they do come about, will they be in your SEC filings, that type of thing?
Joe Harary: Yes. To the extent material, they will always -- we have an obligation to disclose material information. So yes. And from a marketing standpoint -- yes, from a marketing standpoint, the Holy Grail stuff is meant to generate ever increasing levels of sales, especially in some of the newer applications that we're posting.
Unidentified Analyst: Well, I can make my guess with that is, but that's just a guess. So I appreciate all the information.
Operator: Our next question comes from Michael Kay.
Unidentified Analyst: I have a few kind of lightning round questions and it will be very short.
Joe Harary: Let me give you the answers. Yes, no, maybe yes. How is that?
Unidentified Analyst: Is Gauzy the only company that's making SPD film and do they plan to have a plant in the United States?
Joe Harary: You can ask the question about their future plans on their conference call next week. However, they are the only company, they bought the Showa Denko business from them. So right now, Gauzy has the supply advantage here. They don't have an exclusive license but right now they're the only ones, and they're doing a great job. When you see companies like Ferrari tell you that they want to put this in more and more cars and it's such a successful item, it speaks volumes of that. And we've been very blessed to have them as partners.
Unidentified Analyst: And also, when will the sun visors be available that could be retrofitted to existing automobiles?
Joe Harary: We have multiple approaches to getting that into the market. Some are very near term and some are more intermediate and longer term. The intermediate to longer term ones, and we're not talking about great periods of time, are incorporating it into the shade band of the windshield. So if you look on any car, there's something called the AS line. And from a regulatory standpoint, you could do anything you want tint wise on the windshield above the AS line. So sometimes you'll see a blue band across the car, that's usually the shape band and you could do what you want there. And then there's the one where you could either have the full down visor, traditional visor but have the SPD functionality or you can have other iterations where it’s an aftermarket or semi afmarket item?
Unidentified Analyst: But was the goal set in terms of when they'd be available to the public?
Joe Harary: Goals are always set and expectations are always set within the companies that are producing this. They're not things I could share.
Unidentified Analyst: Yes, it's been a long time. Also, do you -- is Mercedes still involved in any way with the SPD…
Joe Harary: We have an involvement and so does Gauzy with Mercedes. And I think that a lot of the things that are on their wish list are things that we're going to be able to deliver. And when they see all of their other premium cars putting SPD on it, it just makes them realize that they had the first dance at the prom with the prettiest girl and maybe they should keep dancing.
Unidentified Analyst: Do you anticipate, even though it's lagging behind that eventually the architectural market will be the largest for SPD even surpassing autos and aircraft?
Joe Harary: I think so. And I think the drivers of that is the constant reduction in the price of the film, the retrofit application and what that really does. I mean I'll just give you one example of how it can grow very, very fast. The GSA, the Government Services Administration is the buyer of materials for the government. Our licensee that has the patents on the retrofit application is on the GSA schedule of approved vendors and they currently supply them with different types of advanced glass for the GSA to pick from and it comes on a menu. So just like you go to a restaurant, you could order a retrofit window with X, Y or Z type of glass and that Z type of glass would be SPD. So we're kind of already very much with our foot -- it's not our toe in the door, it's probably our entire foot and maybe or torso and three friends helping to probably open the door. So -- and that's the biggest customer in the world. So that's one area where if you wanted to see stellar growth that could happen. And just we were discussing some of the projections they could be astronomical for us and our licensees even in year one of that. So something that I expect to be bigger. And then you have the more traditional ways of installing the glass and more traditional new construction and things like that. And that also is big because basically almost 70% of the world's glass is going through the architectural market [Multiple Speakers]…
Unidentified Analyst: And the final question, even though you once said that the sweet spot in terms of cost and attractiveness to the car manufacturers had been reached. I assume the company is still trying to reduce the cost of SPD, so it will even have [Multiple Speakers]…
Joe Harary: Yes, all the time. So there's two things you want to do. You want to decrease the cost of the materials that are going to the customer and you want to decrease the cost of ownership by constantly making it better, more versatile, more durable, et cetera. So we're constantly doing that. And just simple basic economies of scale because remember, we're a roll-to-roll web pressed process of production. We're not a sputter coated vacuum deposition process that doesn't really have economy of scale as view is painfully aware of. So our yields are high, the efficiencies of production are high. The logistics are great because you could ship film anywhere you want in the world and then have it laminated relatively locally. So you don't have to shift fragile, heavy expensive glass around the world, you can throw a couple of roles of film on a car freight and get it there the next day without any real meaningful shipment costs. So these are the things that really, I think, are the hallmark. And then I talked about another one today, which is the reduction in the cost of delivery through things like the retrofit application where you don't have to have scaffolding put up. You don't have to even have maybe electricians come to the site. So a lot of benefits there.
Operator: Our next question comes from Leonard Lietzow.
Unidentified Analyst: I noticed [Multiple Speakers] Gauzy's original S-1 report, they said that they had sold out all of their manufacturing, they had contracts on it all for the year. And apparently, a lot of things got pushed off from the third quarter to the fourth quarter. Is that what happened?
Joe Harary: Yes. Most of that, that they reported in their most recent revenue guidance was related to their production of the end products for aircraft in their in their French facility. And if you noticed the lead on that was that they got permission from the union to add a shift. So those kind of things don't really -- those problems don't really exist in all parts of the world. But in some areas, it's harder to get unions degree to do things. Happy to say also that the union issue with some of the architectural applications is zero to nonexistent because of the nature of it.
Unidentified Analyst: Those are both positive things?
Joe Harary: Very much so. And the other thing to keep in mind, Len, is that part of this was because of the war. And sometimes, good decisions come out of bad situations. When they went public, I'm sure they got more than their fair share of question about what happens if something happens to their Yafo Tel Aviv facility. So they started expanding even before this, because their planners emulsion production outside of Israel. But when that happened, they stepped up that process. So expanding emulsion and film production capability was something that very much was in the works. And I will say that in the automotive market, I mean, you see these very stellar growth rates that have been consistently high, this year they've been asked to exceed what their requirements were for that for certain customers and they've done it. They stepped up to the plate and they got it done. So neither them or us or companies that like to turn down good business.
Unidentified Analyst: Which means that the fourth quarter should be pretty exciting?
Joe Harary: I think every quarter going forward is going to be exciting. And well, let me leave it at that.
Operator: Our next question comes from John Nelson.
Unidentified Analyst: Joe, I have a couple of questions just related to the comments made earlier. The Saudi study, related to the Saudi study, they are constructing a giant new city in the desert. Is this -- will this study help to market SPD to -- for potential use there?
Joe Harary: I think it will. I think that if you consider the whole Saudi Arabian market, they've built remarkable buildings there and most of them use glass and glass is very good and very bad in the desert. Very good that it withstands a lot of abuse but it's very bad and that it brings in a lot of heat, light and glare. So being able to control it becomes even more important. And if you look at the study, they were talking about schools but the study really has applicability on any place that glass is used in a building, whether it's an atrium, which they have plenty of, skylights, conference rooms, entrance ways, everything like that. And what's really good about it is I think that they've now put some traction underneath what the target should be for designing those buildings, which is very good. And if you have a choice of several ways of achieving those tint targets, well, one is the old fashioned way. If you need 30% tint, you put glass with a 30% tint and it doesn't switch, which means many times during the day is wrong, because the sun has moved or you have part to shade areas like a glass atrium. I mean imagine trying to put a skylight shade 50 feet in the air, it's very hard to do or you could have the glass to it. So I think it's really going to be a layup, not only in Saudi Arabia but pretty much anywhere that people are either building corporate headquarters or museums or very high profile installations. And the city would be great when it happens. And one other thing. I think this is maybe a testament to the importance of the retrofit. So I was born in West Palm Beach, Florida and an architect friend of mine told me early on when we -- I first started asking him questions about SPD. Now we're talking about the 1990s. He said, Joe, we always get the tint wrong when we design a building here in South Florida. What he mean is like we usually put too heavy a tint on the outside of the building. And because of that, we have to waste energy by putting more interior illumination, more lighting. Before we put two less of a tint and we have to spend more money on air conditioning. And if we spend more money on air conditioning, sometimes you can do it and sometimes you have to totally revamp your mechanical rooms to be bigger and have less rentable space. So what you're doing, this was even before we were commercial with this, what you're doing can be very, very important. Now I add to that, John, the layer of the ability to take that basic fact, which is architects and nothing wrong with them, they often get it wrong in terms of what tint to put on a building, they're not perfect. The ability to retrofit that building with SPD, they're going to tint err on the side of less tint in the glass because they know that if they're wrong, they could dial in the tint in those problem areas with SPD. So it really changes, I think, the dynamic and the risk profile of doing these majorly beautiful buildings.
Unidentified Analyst: That kind of -- just kind of an add-on question to that is, are you -- what else are you -- what else are you doing to increase the awareness of the product and its capabilities?
Joe Harary: One thing is being on a plane whenever you can, because this is a very visual technology that if you see it and press the button, you're hooked. And I think anybody that's had the opportunity to press an SPD-SmartGlass window will always remember that feeling and it doesn't wear off for me almost 40 years later. So it's that that becomes demonstrable. And also coordinating with these ever expanding marketing departments and business development partners and our licensees. And I'll talk a little bit more about that in my closing remarks. But yes, the marketing is something that's becoming a lot of fun now that we have architectural with film and iconic brands that are using this and visibility.
Unidentified Analyst: And on the new models mentioned for 2025 introduction. Have they decided yet?
Joe Harary: Thank you for picking up on its models, plural and 2025.
Unidentified Analyst: Have they decided yet whether it's going to be an option or standard on certain of those models?
Joe Harary: In some cases, I think it may be standard. In some cases, it's going to be entirely new uses of SPD, I believe. So it's going to be kind of exciting because it has the ability to really open up new thinking about SPD. It's not just for sun roofs anymore.
Unidentified Analyst: And then you mentioned LTI and getting specs on several projects. Without disclosing names, can you describe the types of buildings that these projects are involved?
Joe Harary: Well, I'll do my best without compromising the fact that we are competing against some of our -- the electrochromic glass people on it. But I think we're going to do fine, because the data is just so compelling, why you would do this. But they're commercial, not residential. They are big users of glass and sophisticated building management systems need sophisticated glass and shading systems, and we check all the boxes. So that's about all I could say right now. And then on the government side, we've identified a number of projects that the government would like to upgrade. And that's good because when you think about government buildings, first of all, you have the GSA mandate to make their buildings more energy efficient. And this has been around for not just the current administration but the prior administration that and you have these mandates to do this. Because some of these buildings have just very old monolithic, not even insulated glass unit, glass structures. And to upgrade them with the latest and greatest, especially with the retrofit becomes a no-brainer. And what you can do is basically test it out. So you may have a certain corner of the building that has a particularly bad glare problem. You put it there first and then you basically expand to other windows on the floor and other floors in the building and other buildings in the area to do this once you've kind of proven it out. So it's a way for the government to really get some real good firm data as to how and why and where to deploy this glass. And the thing I must say also is to be remarkable is you could come in over the course of a weekend and do lots of windows. So you're not really taking the building out of service or disrupting the flow of the building in order to upgrade it to smart glass using the retrofit. So it's a very, very compelling area. And our licensee in that area, LTI is expanding to do that.
Unidentified Analyst: Last question. Now that the Boeing strike is settled, are you -- is SPD either certified or ordered on any of their models?
Joe Harary: Yes. Yesterday at the Benzinga interview that's online, Eyal Peso said this, so I guess I could say it too. The two airlines have done this.
Operator: Our next question comes from Art Brady.
Unidentified Analyst: About three weeks ago, Hitachi mentioned that they are expanding into the building of new data centers. And I'm wondering if any of this has come across your desk?
Joe Harary: Well, you got to look at which division of Hitachi did that. Hitachi is like General Electric. Hitachi Chemical, which was sold to Showa Denko, which has now been named Resonac is a different division. And I'm not really sure these data centers would be ideal places for this, because they typically don't have windows. So I'm not sure why they would put it there. But look, I've been wrong about many things, I could be wrong about that, too.
Unidentified Analyst: What they're trying to do is to build these data centers in areas where there are very strong amounts of oil fields, so that they could generate power very readily.
Joe Harary: Right. But the thing to think about Art is whether the building itself needs SPD if it doesn't have any windows. And I think that, for the most part, if you're building a data center, you're going to probably want to make it like a bomb shelter, which means no windows, very thick concrete and other things. So we'll see. But I don't think it's the low hanging fruit at least.
Unidentified Analyst: Another question I have is you used to have -- where we had meetings. And as you walked into the meeting, you had a couple of Lincoln cars that had SPD. And then anything happened with Lincoln that we can hook up with them again?
Joe Harary: Well, we keep good contact with the whole Ford organization, and I've been there many, many times even since the Lincoln Continental came out in concept with our stuff. So you keep in contact with everyone. You work with everyone. You try to understand their needs and then you figure out the best licensees to help them achieve those needs, and that's pretty simple but straightforward approach to all the automakers.
Operator: Next question comes from Michael Foster.
Unidentified Analyst: In light of this, what sounds like a very rosy picture about sales and I'm reminding of what you told us when Gauzy was added as a film supplier that was a great development, because OEMs like to have more than one supplier. So what has been done to add SPD film producers beyond Gauzy?
Joe Harary: So there's a balance, Michael, between having too many film suppliers and having the ones that you have, have every incentive to invest in innovation, quality assurance and everything like that. Otherwise, we become like PDLC, which is a very spotty technology in many areas, not at Gauzy. They do a great PDLC product, which is what we love about them is if they have the same commitment to quality we do. It has not been a consideration by any of the carmakers that we're dealing with. Not one of them has mentioned that as an issue anymore. I think they're comfortable with the fact that, A, they've done site audits of Gauzy, they know their production facility, they know their capacity. There's not going to be a capacity constraint if Ford or GM decided to put this on every car being able to produce enough film for that. And they also know that if there was and if Gauzy didn't make the necessary investments to continue to replicate capability like they've been doing throughout the world, we could always license new companies to do this. So that hasn't been an area where -- but the other part of your question, I think, is on the end product side, we find that the glass laminators are the ones that the carmakers focus on having redundancy on and -- because they're the ones that are buying the film and pricing it and selling it to the automakers. And there, we have very good redundancy across multiple suppliers for the automakers. So they like that. And some of our discussions recently have been making sure that we always preserve it on the end product side.
Unidentified Analyst: Well, I wasn't being critical of Gauzy they seem to be…
Joe Harary: I don't think you were. I just think it's a good question.
Unidentified Analyst: [Multiple Speakers] volume if we have this great opportunity to sell product, it sounds like we would benefit from having somebody else who's producing film just so that there is an adequate supply. And that's why I'm asking what has been done to add film producers.
Joe Harary: Discussions specifically about capacity expansion plans and also the ability to talk to other licensees prospective licensees to make film. I can't say more about. I can't say any more about it, it's strategic and this is an open call. So -- but it hasn't been a factor in terms of capacity. I've looked at Gauzy's expansion plans, they could make as much film as we think is going to be needed and they have every intention of doing that.
Operator: Our next question comes from Chuck Michaels.
Unidentified Analyst: Joe, I’ve got a few questions. First one actually isn’t even a question so much as I read an article that indicated that I was not aware of this previously that flight attendants actually have health issues from the light that comes in for the airplanes is like on commercial aircraft. And I was thinking that possibly that might be something to check into in terms of marketing SPD.
Joe Harary: Right, and that's similar to what we call truckers arm. If you look at the left arm of most truckers, they have a higher incidence of skin cancer because their elbows are sitting right next to the glass or out the window. And we've blocked so much UV but there's certainly a health benefit there. The other thing that is a little bit crazy is the restrictions that the flight attendant unions placed on their flight attendants that are not necessarily in the flight attendants’ best interest. They can't require them to open and close windows, for example. So you noticed sometimes when you land they'll make an announcement, voluntarily, please close your window. We're flying into Miami International or whatever other hot climate you’re in but they can't require the -- and that would be much better for the passengers and for the flight attendants. But yes, the health issues are things that we're very cognizant of. And we've had discussions about why this would be good for health.
Unidentified Analyst: Another thing was I sent a question about it, I don't know if you covered. I got in about 5 minutes late on the conference call. But I was wondering with Gauzy had a press release about this car vision camera system. And I was wondering if that used your technology or not.
Joe Harary: It doesn't. The smart light, which is the safety tech division where they have cameras on buses and things is a very sophisticated AI based, if that's what you're talking about. Moving ahead a little bit, cars have a lot of sensors and glare can really blind these sensors. So I wouldn't rule out the possibility of maybe not in Gen 1 of these things but maybe in Gen 2, the SPD having a more meaningful role in protecting or making -- or enhancing the ability of these sensors to do their job and in some cases, protecting the sensor from damage.
Unidentified Analyst: And one more thing. I was noticing on your financials in your press release that cash and cash equivalents, current amount as of the end of September was about double what the decrease in cash and cash equivalents was during last quarter. So are you going to be raising more funds, or how is that going to be dealt with?
Joe Harary: We don't need to. As I think we said in the press release, we don't anticipate raising capital unless there's a strategic reason like Mercedes wants to make an investment in us or something like that for the next five years, at least. I think we're going to be fine [Multiple Speakers] with our loss going down so dramatically.
Operator: Our next question comes from William Burg.
Unidentified Analyst: Some time ago, Joe, you stated that investors would be made happy but that happiness was pushed back a little bit. Today, you mentioned 2025. And are you saying that the Asian carmaker is going to be named in 2025 and that they're going to have more than one model, and it won't be just sunroofs but other windows on the vehicle as well?
Joe Harary: No, I'm not saying that. What I said is that in Asia and in Europe, we expect multiple car models to come out and so those are going to have different areas than what people are traditionally used to. And our expectation is those come out in 2025. I'm not pinning it on which one is going to have the non-sunroof application or whatever, but that's our expectation.
Unidentified Analyst: So I'm not asking for which models will have what. But you stated that it will be more than just the sunroof, there will be other windows as well.
Joe Harary: Other uses, yes. That's what I said. Which I think is exciting because every time something like this happens, and we'll just take, for example, the augmented realities, windshield that Bobcat put in their construction vehicle at CES, it sparks interest. Other companies were at CES that saw that and approached us and said we want this too. We like it. We saw it work. So every time there's a new use for this it opens up many doors beyond what we have opened now.
Operator: Our next question comes from Tom McCarthy.
Unidentified Analyst: Joe, I'm sorry if I missed it. But I'd like more information on the Saudi study, who funded it, who conducted it, how extensive was it, how rigorous are the results…
Joe Harary: Yes, it was very rigorous and had some very good specific information. I don't know if you heard our discussion about it. I'm going to refer you to the article itself. I don't have it in front of me right now about who did it, who funded it. It wasn't us. It wasn't Research Frontier.
Unidentified Analyst: Is the article on your Web site?
Joe Harary: No. I mean they have the copyright in it. So they have -- yes. But if you can get it online, I think it's been fairly widely available.
Unidentified Analyst: And how do I access it, what's the title of it?
Joe Harary: If you listen to the transcript, which should be out tomorrow. There will be some data on it, but it's a mouthful.
Operator: At this time, we have no further questions.
Joe Harary: Okay. In that case, if any of you had questions that we haven't fully answered, if you thought of anything else, just e-mail us, we’d do our best to answer them. And now I'd like to make some closing remarks. The outlook for the smart glass industry remains extremely promising, and I think we proved that every quarter and every day bolstered by growing revenues in automotive and aircraft and increasing regulatory support and tax incentives, and then new product introductions like the retrofit. Research Frontiers has a solid position and a strong foothold in the smart glass industry. We're well positioned as a recognized leader with an innovative, high performing and reliable solution. Our recent results underscore that SPD-SmartGlass technology is increasingly viewed as the industry standard solidifying our leadership even further. With our guidance, our entire industry has been strengthened as well with licensees gaining resources to expand and our technology being adopted across a diverse range of products and industries. In the interview yesterday, Gauzy mentioned that they had 700 employees. When I first met Eyal Peso, they had 50. Demand is rising from highly visible iconic global brands and their customers further validating our technology's transformative power. SPD-SmartGlass technology is enhancing customer experiences across sectors, especially in automotive and aerospace where it sets new standards of comfort and energy efficiency and performance. And in some industries where the customers such as airlines can finally now choose they are selecting SPD as shown by the new Airbus and Boeing programs. This quarter, we continued our track record of growth and progress with Research Frontiers and our licensees building traction and momentum across multiple industries and continued growth in our established markets, as well as opening up -- while we also open up new markets and uses for SPD-SmartGlass technology. The third quarter of 2024 marked our seventh consecutive quarter of revenue growth compared to the prior year. In some areas where we are the established leader, we have a strong foothold, such as in automotive and aerospace. In other emerging markets for us such as architectural, infotainment and information display and consumer electronics, we're just getting started. But because it's virgin territory and because of our track record in the other areas, I think we have the leg up there. We've been in business the longest and have the largest network of world class companies offering our SPD-SmartGlass technologies. We built upon our base of success and high performance and reliability proven across tens of thousands of cars and aircrafts that have been in use for decades. No one else has that longevity or track record. Each partnership, each project and each installation further validates our leadership and the undeniable value that our SPD-SmartGlass technology brings. Competitors have tried to do what we have succeeded at. Most have failed or are failing. In my opinion, this is because of their flawed business models, high costs, bad logistics and inability to scale and the poor performance of their technologies. Just in the second half of this year, we've seen multiple bankruptcies among our competitors, such as [indiscernible] and Helios. The architectural market, for example, has proven too difficult for others in our industry. Not for us. We see tremendous potential in the retrofit market for buildings, offering opportunities to drive sustainable solutions into existing infrastructures worldwide. No one else can do this. Because we are a film based light control technology, the logistics for us and our licensees are far better. SPD-Smart light control film can easily be shipped anywhere in the world that's needed. The introduction of SPD into new premium vehicles as well as current initiatives to tap into the market for more moderately priced vehicles also marks a significant milestone, broadening our reach and making SPD technology more visible and more accessible to a wider audience. As we look ahead, we can see more clearly what the future holds for our industry, and Research Frontiers is more optimistic than ever. With the support of a strong growing industry network and partners like Gauzy, who share our vision for expanding SPD's reach, we are well positioned to capitalize on the promising opportunities that lie before us, such as the several new car models that I had mentioned earlier in Europe and in Asia that are expected to be introduced in 2025 using our SPD-SmartGlass technology and, as I mentioned, some in new places and in new ways. Thank you once again for your trust, confidence and commitment to our journey. We look forward to continuing on this exciting path together, continuing the momentum and to sharing more achievements with you. We expect, like our shareholders, further growth, visibility and success. Thank you.
Operator: This concludes today's conference call. Thank you for attending.